Operator: Greetings. Welcome to the Floor & Decor Holdings, Inc. Fourth Quarter and Fiscal Year 2020 Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. Please note, this conference is being recorded. I will now turn the call over to your host, Wayne Hood. Please go ahead.
Wayne Hood: Thank you, operator, and good afternoon, everyone. Joining me on our earnings conference call today are Tom Taylor, Chief Executive Officer; Lisa Laube, President; and Trevor Lang, Executive Vice President and Chief Financial Officer. Before we get started today, I would like to remind everyone of the Company's safe harbor language. Comments made during this conference call and webcast contain forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995 and are subject to risks and uncertainties. Any statement that refers to expectations, projections or other characterizations of future events, including financial projections or future market conditions is a forward-looking statement. The Company's actual future results could differ materially from those expressed in such forward-looking statements for any reason, including those listed in its SEC filings. Floor & Decor assumes no obligation to update any such forward-looking statements. Please also note that past performance or market information is not a guarantee of future results. During this conference call, the Company will discuss non-GAAP financial measures as defined by SEC Regulation G. We believe non-GAAP disclosures enable investors to better understand our core operating performance on a comparable basis between periods. A reconciliation of each of these non-GAAP measures to the most directly comparable GAAP financial measure can be found in the earnings press release, which is available on our Investor Relations website at ir.flooranddecor.com. A recorded replay of this call, together with related materials, will be available on our Investor Relations website. Let me now turn the call over to Tom.
Tom Taylor: Thank you, Wayne, and thanks to everyone for joining us on our fiscal 2020 fourth quarter and full year 2020 earnings conference call. On today's call, I will discuss some of the highlights of our strong fourth quarter and full year fiscal 2020 results as well as the progress we are making on some of our strategic growth initiatives. Trevor will then review our fiscal 2020 fourth quarter and full year financial performance and discuss how we are thinking about fiscal 2021, and then we will open the call for your questions. We delivered exceptional fiscal 2020 fourth quarter earnings results that represented an acceleration of trends we saw in the third quarter of fiscal 2020. The our fiscal 2020 fourth quarter total sales increased 37.3% or $196.7 to $723.7 million from $527 million in the fourth quarter of fiscal 2019, exceeding our expectations. On a 52 to 52-week basis, our fiscal 2020 fourth quarter comparable store sales increased 21.6%, the strongest quarterly growth rate of the year. We experienced robust and consistently strong sales across all months in all nine geographic regions in the quarter. Our fiscal 2020 fourth quarter adjusted EBITDA also exceeded our expectations increasing 65.9% to $97.6 million from $58.8 million in the fourth quarter of fiscal 2019. Our fiscal 2020 adjusted fourth quarter diluted earnings per share increased 80.8% to $0.47 from $0.26 in the fourth quarter of fiscal 2019. We ended fiscal 2020 with no net debt on our balance sheet and remain in our strongest liquidity position in our company's history. Our financial performance and strong balance sheet enable us to continue to make significant investments towards further strengthening our competitive position and growing our market share in 2021 and beyond. Let me now provide an update on our five strategic pillars of growth, beginning with new store growth. We opened five new warehouse stores in the fourth quarter of fiscal 2020, bringing the total number of warehouse stores we operate to 133, plus two design studios in 31 states at the end of fiscal 2020. By month, we opened four new warehouse stores in fiscal November 2020 and one new warehouse store in fiscal December 2020. These openings were a remarkable accomplishment considering the impact COVID-19 had on many elements of new store construction. As we look to fiscal 2021, we intend to return to 20% unit growth and expect to achieve our long desired objective of a more balanced quarterly new warehouse store opening cadence. To that end, we expect to open seven new warehouse stores in the first quarter of fiscal 2021, more than double the three new warehouse stores we opened in the first quarter of fiscal 2020. For the full year, we expect to open 27 new warehouse stores, an increase of 20.3% from 2020. We expect about 60% of our new warehouse store openings will be in new markets, particularly in the northeast and the west coast and 40% in existing successful markets. We are continuing to move forward with our design studio pilot by opening two additional locations in the second half of fiscal 2021. We remain very pleased with the sales waterfall among all of our store vintages, particularly our most mature stores, and believe the classic 2020 and 2021 stores will represent some of our strongest classes of new stores. Moving on to our second pillar of growth, growing our comparable store sales. We are very pleased with the broad-based and consistent strength in our fiscal 2020 fourth quarter comparable store sales and a strong start to fiscal 2021. Our reported fourth quarter comparable store sales increased 21.6% from last year. But if you adjust for the impact of Christmas moving into the 53rd week, which benefited fiscal December 2020, we estimate our fourth quarter comparable store sales would have increased approximately 20.5%. Our comparable store sales were driven by strong 23.1% growth in comparable store customer transactions. This represents the strongest growth rate in customer transactions in fiscal 2020 and exceeded our expectations. On a monthly basis, our comparable store sales increased 20.4% in October, 19.4% in November and 24.9% in December. As I mentioned, the 24.9% increase in December comparable store sales was closer to 21.7% when adjusting for Christmas shifting into the 53rd week. We are very pleased with our December comparable store sales growth exit rate and the strong start to fiscal 2021. Year-to-date, our fiscal 2021 first quarter comparable store sales increased approximately 24% despite severe weather that impacted approximately 20% of our store base over multiple days. From a merchandising perspective, all of our product categories experienced double-digit fourth quarter 2020 comparable store sales growth, excluding our wood category. That said, the changes we have made in our wood assortments are now leading to modestly higher growth in the category. The broad-based strength in our merchandising categories further validates our position as the one-stop solution for all of our customers' hard surface flooring needs. The strength of our merchandising and supply chain teams has enabled us to continue to successfully deliver on our strategy of offering differentiated and innovative trend-right products and job lock quantities at everyday low price. Our third strategic pillar of growth is expanding our connected customer experience. Our fiscal 2020 fourth quarter e-commerce sales remained strong, increasing 93.7% and from the fourth quarter of fiscal 2019 and accounting for 15.9% of our sales compared with 11.4% last year. For the full fiscal year, our e-commerce sales increased 120.3% to $461 million and accounted for 18.9% of our sales compared with 10.1% in fiscal 2019. We believe we are now seeing our e-commerce sales penetration rate approaching a more normalized rate following its peak of over 60% in the second quarter of fiscal 2020. We are very pleased with the fiscal 2020 fourth quarter traffic to our website, which increased 53% year-over-year, an improvement in growth from the third quarter of fiscal 2020. We continue to see strong double-digit growth from paid and organic search as well as direct traffic to our website as our customers are choosing to engage with our brand. We are particularly pleased with 92% growth in direct traffic to the website in the fourth quarter, which is the direct result of our growing brand awareness and our team's ability to capitalize on these trends. We will continue to make investments towards delivering an unmatched personalized customer experience with efficient business processes across all our touch points, including our website, mobile app and in-store. For example, in 2021, we are excited about rolling out a on here notification, which offers customers the ability to check in contactless and curbside from the personal devices, making for a better pickup experience. Additionally, later this year, we intend to enable customers to schedule delivery and pickup times. We are also taking additional actions to further optimize speed of our website and mobile experience, which, in turn, we believe will lead to further improvement in conversion and customer experience. We believe these actions will continue to lead to strong e-commerce performance metrics and growth. That said, our stores remain a critical part of our connected customer experience. In the fourth quarter of fiscal 2020, about 88% of our website orders, excluding sample purchases, were picked up in our stores. Our fourth pillar of growth rests on the successful investments we are making in our pro and commercial customers to grow our market share. We are continuing to make investments in our Pro mobile app and our award-winning Pro Premier Rewards, PPR program, which drives engagement and loyalty with new and existing Pros. We grew enrollment in the PPR program, 22% in fiscal 2020 despite the headwinds caused by the COVID-19 pandemic. We were encouraged to see our fiscal 2020 fourth quarter monthly PPR enrollment returned to pre-COVID-19 levels and accelerate from the third quarter, leaving us optimistic about further strong growth in 2021. We had over 178,000 Pros enrolled in PPR at the end of fiscal 2020, which represents a 73.7% increase from fiscal 2019 and a remarkable accomplishment since its launch in the third quarter of fiscal 2018. As a result, about 77% of our fiscal 2020 Pro sales were from PPR members, up from 67% in fiscal 2019. The increased enrollment is the direct result of our Pro teams. engaging with Pros about the benefits and value the program that now includes over 100,000 reward items, including unique reward experiences and social good offerings. For example, our Pros have redeemed over 1.8 million points to provide clean water to underdeveloped countries, amounting to over 34,000 resi newater. Home Advisers is one of our newest Pro partner additions to PPR offering members savings as well as the option to redeem points directly for credits for lead generation, the lifeblood of any contractor. In fiscal 2020, PPR points earned increased 37% versus 2019, and points redeemed rose 70%, further validating the value of our PPR program and engagement with our Pros. Our PPR program is an important tool for us, and we have found that PPR members spend nearly 3x more and shop 2.5x more frequently than non-PPR members. As we move into 2021, we'll further enhance our PPR program and build on our segmentation and personalization efforts to drive engagement and lifetime loyalty, and we intend to reward our Pro customers for using our Pro credit card. We continue to be very pleased with the growth in commercial sales, particularly those sales that are generated by our regional account managers for rands, which are now in most of our major markets. While sales from our 22 regional account managers are small relative to the size of our retail business, we are excited about the opportunity to see sales triple in fiscal 2020, prompting us to further build out this organization with plans to add approximately 12 regional account managers in fiscal 2021. Over time, we expect commercial sales to become a material part of our growth as we leverage key Floor & Decor strengths, merchandising in our direct sourcing model. Let me now discuss the progress we are making with our free design services, the fifth pillar of growth. We are pleased with the momentum in our free design services where our fiscal 2020 fourth quarter sales increased meaningfully from fourth quarter fiscal 2019. Key performance metrics, including appointment conversion rate, average ticket and sales penetration, were the highest of the year as consumers felt safe inside our large stores. Our fiscal 2020 design appointments of 193,000 were a record as we augmented in-person design appointments with virtual ones. Design appointments and product recommendations are very important to homeowners, Pros and our conversion rates. So we were pleased to learn through our design survey that among homeowners and Pros, who had design appointments of Floor & Decor that over 90% were very or somewhat satisfied. We have seen sales tied to a designer more than double since 2018 and have strategies to drive continued strong growth in 2021 and beyond. We are focused on building a consistent, high-touch, best-in-class and seamless design service for our homeowner and Pro customers. To that end, we'll continue to elevate the talent in design services. As we have discussed, when a designer is involved with the project, the average ticket and margin are above the Company average. Let me now turn my comments to what we have learned about our customers following our updated homeowner and pro demographic and customer market segmentation analysis. We now have information on over 2 million customers in our CRM database that we have combined with external research to create strategies for our different types of customers. Within our two homeowner segments, do-it-yourself and buy-it-yourself, we now have further defined them into nine distinct personas. We also have more clarity on the professional side of our business as to what percent of our business comes from a remodeler, flooring specialist, general contractor, property owner, architect and designer. Based on our most recent research, we believe approximately 70% of our sales come from homeowners and 30% from professional customers. More importantly, when looking at who makes the determination of where to shop, we still believe the pro influences about 40% of our sales and homeowners 60%. Additionally, we now estimate that 85% of purchasers involve a professional in their installation. Our strategy has always been to serve both homeowners and professional customers, but this new information and granular level of detail in our CRM database allows us to enhance store, connected customers and marketing strategies to find new customers as well as obtain more wallet share from existing customers. We are now much better informed as to why customers buy from us and why sometimes we don't get the sale. We have begun to refine our targeting strategies through digital advertising and have created more personalized and relevant communications throughout the homeowner and pro shopping journey. We are also building our collaborative strategies between our Pro desk and pre-design services. Finally, we are enhancing our Pro Premier Rewards loyalty program by segmenting our pros by dollar spend, which we expect will allow us to increase engagement and loyalty. Let me close by saying that our strong fiscal 2020 fourth quarter and full year earnings are the direct result of our associates tirelessly serving our customers and each other. In 2020, we learned that we can successfully operate our business under extreme circumstances and unexpected events due to the collaborative strength of our people and culture. Our entire executive leadership team would like to thank them for their hard work and dedication to serving our customers and each other. I'll now turn the call over to Trevor to discuss in more detail our fiscal 2020 fourth quarter and full year financial results.
Trevor Lang: Thanks, Tom. Our strong fourth quarter and fiscal 2020 earnings results are an exceptional accomplishment considering the unique and challenging operating environment we faced in fiscal 2020. It is a testament to the resiliency of our business model and our associates' tireless effort to serve our customers and each other. We are pleased with two consecutive quarters of double-digit comparable store sales growth driven by transaction growth, which is encouraging as we enter 2021. We are particularly proud of our second half financial performance in fiscal 2020 as it represents the highest operating and EBITDA margin performance in our recent history. Let me now turn my comments to some of the changes among the major line items in our fiscal'2020 fourth quarter income statement, balance sheet and statement of cash flow, and then I'll discuss how we are thinking about fiscal 2021. As a reminder, our fiscal 2020 year, which ended December 31, 2020, is a 53-week period compared with fiscal 2019 52-week period ending December 26, 2019. This means we had 14 weeks of operations in the fourth quarter of 2020 versus 13 weeks of fiscal 2019's fourth quarter. We estimate the additional week added approximately $41.4 million in sales, $8.5 million in operating income, $6.4 million in our net income, $0.06 to our diluted earnings per share and $8.8 million to adjusted EBITDA. My comments from here will be on a 14-week to 13-week basis. Our fiscal 2020 reported fourth quarter gross margin rate contracted to 42.5% from 43.6% in fiscal 2019 due entirely to the 270 basis points or $14 million in Section 301 tariff refund discussed in fiscal 2019 related primarily to rigid core vinyl. Excluding the 270 basis points benefit from last year, our gross margins improved 150 basis points driven by higher product margins due to continued enhancements to our merchandising strategies and improved leverage of our distribution center and supply chain infrastructure on higher sales. Turning to our fiscal 2020 fourth quarter expenses. Our fiscal 2020 fourth quarter selling and store operating expenses increased 29.2% to $191.1 million from $147.9 million in fiscal 2019, leveraging approximately 170 basis points. The year-over-year improvement is the direct result of the expense leverage that comes from the strong 37.3% growth in our total sales. Our staffing levels sequentially improved in the fourth quarter of fiscal 2020 relative to the third quarter of fiscal 2020, but we ran lean in some stores due to COVID-19. Our fiscal 2020 fourth quarter general and administrative expenses increased 20.1% to $40.9 million from $34 million in the fourth quarter of fiscal 2019, leveraging 90 basis points year-over-year. The leverage was due to the increase in sales as well as we incurred $2.4 million in last year's fourth quarter related to the relocation to our new store support center and the exit of our Miami distribution center. Our 2020 fourth quarter preopening expenses increased 26.4% to $7.6 million from $6 million in the same period in the prior year, primarily due to the opening of five new warehouse stores in Q4 2020 and spend for 10 stores expected to open throughout 2021 versus opening seven stores in Q4 2019 and spend for five stores that opened in 2020. We are pleased that our strong second half 2020 results enabled us to pay $2.5 million in spot bonuses to our store associates and reimbursed store support center associates for salary reductions they took in the second quarter of fiscal 2020 due to the COVID-19 pandemic. Fourth quarter net interest expense increased 34.3% to $2.3 million from $1.7 at fiscal 2019, primarily due to higher average total debt outstanding with our term loan when compared to the same period in fiscal 2019. Fourth quarter fiscal 2019 included a benefit of approximately $335,000 related to the Section 301 tariff reforms. Without the benefit, interest expense would have increased 15.9% in the fourth quarter of 2020. Our fiscal 2020 fourth quarter provision for income taxes was $8.6 million or 13.1% of pretax income compared with $5.1 million or 12.6% in fiscal 2019. The lower effective income tax rate when compared to our statutory rate is primarily due to income tax benefits for tax deductions in excess of book expense related to stock option exercises. Turning to our profitability. Our fiscal 2020 fourth quarter adjusted EBITDA margin rate increased 230 basis points to 13.5% from 11.2% in fiscal 2019, primarily due to the 150 basis point improvement in our gross margin rate, which, when coupled with expense leverage, led to our adjusted EBITDA growing 65.9% to $97.6 million from $58.8 million in the same in fiscal 2019. Our fiscal 2020 fourth quarter GAAP net income increased 61.7% to $57.1 million from $35.3 million in the same period in fiscal 2019. Our GAAP diluted earnings per share increased 58.8% to $0.54 from $0.34 per share in the fourth quarter of 2019. Our fiscal 2020 fourth quarter non-GAAP adjusted net income increased 86% to $50.2 million from $27 million in the fourth quarter of fiscal 2019. Our fiscal 2020 fourth quarter adjusted diluted earnings per share increased 80.8% to $0.47 from $0.26 in the same period in fiscal 2019. A reconciliation of our fiscal 2020 fourth quarter earnings to non-GAAP earnings is provided in today's earnings release. Moving on to our fiscal 2020 balance sheet and cash flow. We are pleased that during these unprecedented times that we have been able to maintain a strong balance sheet and have the strongest liquidity position in our company's history to support our growth plans. As of December 31, 2020, there was $217,800,000 in gross debt outstanding related to our term loan facility, when considered the $307,800,000 in cash and cash equivalents is on our balance sheet, we had no net debt outstanding as of December 31, 2020. Further, we can access approximately $378,700,000 of unused borrowings available under our $400 million ABL facility. Our fiscal 2020 operating cash flow almost doubled to $406.2 million from $204.7 in fiscal 2019, primarily due to strong growth in our net income and a decrease in working capital. The decline in our working capital was primarily due to 11% growth in new stores in fiscal 2020 compared with our historical 20% growth in new units. Turning to capital expenditures. For fiscal 2020, our total capital expenditures were $212.4 million compared to $196 million for fiscal 2019. While we opened fewer stores in fiscal 2020 and 2019, we intend to open more stores in early 2021 than in 2020, so we had an increase in new store capital spending for future year openings. We also spent more on our distribution centers as we bought land and intend to own a new larger distribution center near our current facility outside of Houston, Texas. For fiscal 2020, approximately 66% of our capital expenditures were for new stores, 23% for existing store and distribution center reinvestments, while the remaining spending was associated with information technology, e-commerce and store support center investments to support our growth. Let me now turn my comments to how we're thinking about fiscal 2021. From a macroeconomic perspective, fiscal and monetary policies look to remain very accommodative over the intermediate term, which we believe will continue to provide tailwinds to existing and new home sales. The secular demand for homes continues to exceed available supply, which we believe will continue to lead to moderate growth in home price appreciation and support home reinvestment projects. Indeed, our sales growth has accelerated and has remained robust across geographies and merchandise categories, and the pro backlog remained strong into 2021. While we are optimistic about the prospects of the sustained economic recovery in 2021 and the momentum in our business, we recognize the business risk remain elevated from COVID-19 -- from the COVID-19 pandemic. For that reason, in the interim, we are continuing our practice of not providing specific annual sales and earnings guidance that was established in the second quarter of fiscal 2020. However, we are providing select annual guidance for new store openings and financial measures that we believe can reasonably be forecasted. As business risks improve, we expect to return to annual sales and earnings guidance. While we are not providing specific annual sales and earnings guidance for fiscal 2021, let me provide some context and items to consider. We will be cycling past increasingly difficult comparable store sales comparisons in the second half of fiscal 2021, and we believe measuring our growth on a two- and three-year stack basis in the second half of 2021 is a better analytical way to gauge our underlying trends. As a reminder, our fiscal 2020 third quarter and fourth quarter comparable store sales increased 18.4% and 21.6%, respectively. We are planning on depreciation and amortization to be approximately $116 million to $118 million. We are planning on interest expense to be approximately $5 million. The lower interest expense was due to the recently amended term loan, where we paid down$10 million of the higher cost, $75 million term loan B1 as well as lowering our interest rate by about 300 basis points on the remaining balance. Diluted weighted average shares outstanding, is estimated to be approximately $107 million, and our fiscal 2021 tax rate is estimated to be approximately 24%. As a reminder, this guidance does not consider the tax benefit due to the impact of stock option exercises that may occur in fiscal 2021. Our 2021 capital expenditures are expected to accelerate from fiscal 2020 as we return to 20% growth in new warehouse store openings and make other strategic long-term investments. For fiscal 2021, total capital expenditures are planned to be approximately $440 million to $460 million, which will be funded primarily by cash from operations and cash on hand. We intend to open 27 warehouse format stores, two small format design studios and start construction on store openings in fiscal 2022. We expect these warehouse store openings to be equally balanced throughout the quarters in fiscal 2021. We also intend to relocate two existing stores in early 2022 and will have construction costs incurred in fiscal 2021. Collectively, these investments are expected to require $285 million to $295 million in cash in fiscal 2021. Most of the year-over-year increase reflects an acceleration in store openings to 27 new warehouse stores, which is more than double the 13 new warehouse stores opened in fiscal 2020. We plan to relocate our Houston, Texas distribution center to a nearby location in fiscal 2021. We have purchased the land and already started construction on a new 1,500,000 square feet building that we intend to own for the long term. This new DC will double our capacity in Houston to 1,500,000 square feet and increased our total DC capacity by 17% to 5,500,000 square feet. Additionally, we intend to open a new transload distribution facility in Los Angeles that will allow us to maximize cargo weight leading to fewer containers which will drive ocean freight and drayage savings in fiscal 2022. Collectively, these are expected to use approximately $72 million to $76 million in cash. We will invest in existing store remodeling and expansion projects and existing distribution center using approximately $56 million to $59 million of cash. Finally, we plan to continue to invest in information technology infrastructure, e-commerce and other store support center initiatives using approximately $27 million to $30 million of cash. As we look beyond 2021, our goal is still to achieve $329 million in adjusted EBIT in 2022, as described in our 2020 annual proxy statement. If achieved, this would be quite a feat to double our EBIT over a three-year period in the throes of the worst pandemic in a century. As we look to the next three years, we believe our long-term growth algorithm of 20% unit growth, mid- to high single-digit comparable store sales growth, along with modest gross margin improvement, should lead to net income growth of at least 25%. Due to the COVID-19 pandemic, this growth path will not be a straight line. But over the longer term, we believe these goals are achievable. In closing, I would like to say that our entire leadership team is proud of how we performed in 2020, and we remain encouraged by the momentum that has continued into fiscal 2021. We believe our best days and years lie ahead of us. Our entire executive team would like to personally thank all of our associates for the great work they are doing every day to serve our customers. Operator, we will now take your questions.
Operator: [Operator Instructions] Our first question comes from Christopher Horvers with JPMorgan. Please go ahead.
Christopher Horvers: Can you talk a little bit about the puts and takes of gross margin in 2021 as you think about it? Obviously, there's a lot of press about freight costs and there's tariffs out there. And can you also give some insight around the cadence perhaps of the year, given some of the investments that you make and the comparisons that you face?
Trevor Lang: Yes. Chris, this is Trevor. We exited the year with a very strong gross margin, as we mentioned in the prepared comments, up nicely if you back up the Section 301 tariffs. A lot of reasons for that, we've talked about over the years, Lisa and her team and the supply chain team, fantastic job and putting the assortment together, good, better, best. There's a mix benefit with people buying more of our decorative accessories and some of the insulation accessories and just really overall product margins across the board. So we exited the year very strong. As you think about the first half of the year, you will remember at the end of 2019, we put in that Baltimore distribution center, which was a pretty big expense for us at that time. It was a 50% expansion. So we've gotten leverage in the back half of the year. We would expect to continue to get leverage out of that in the first half of this year. So we would expect in the first half maybe moderately better gross margins. As you get to the second half of the year, that 25% tariff is going to start to weigh into our gross margins. We really didn't feel much of that yet because, as we said in the last call, we bought a lot of inventory in anticipation of that. We are certainly seeing the same things that everybody else is seeing with higher international container costs, higher domestic transportation costs. And so we would probably see more cost pressure in the back half of the year. But probably the most important point I want to make is as we look at our business, we look at the uniqueness of our assortment, we look at our pricing power relative to the competition, we feel great about the pricing power we have. And as you know, we believe we're the lowest price leader out there. So to summarize that, I think we probably got a little bit of margin upside in the first half of the year. The back half of the year could be flat to down-ish a little bit only because of some of those cost pressures. But as you have now worked with us for many years, we try to maintain that same gross profit dollars. So if we have to raise costs because we see costs going up, we think we have the ability to raise retails to offset that.
Christopher Horvers: That's super helpful. I really appreciate that. And typically, your -- people don't stop putting in floors because they lost power for a period of time. You talked about heavy exposure, obviously with Texas to the severe weather, and that impacting your business quarter-to-date, but still putting up at 24%. So I guess how much do you think that you left on the table that presumably would get back?
Tom Taylor: Go ahead.
Trevor Lang: So yes, I think that's right. Our -- I think that Tom said, there was about 20% of our sales that were impacted there might be some pipes burst and flows got busted. We read a little bit more about that in more businesses than in homes. With that, shit happens. So we'll have to wait and see how that plays out. But there was definitely an impact on that 24 comp. Our comps definitely would have been higher had we not impacted that -- had not been impacted by those storms.
Tom Taylor: 16% of our store base is in Texas, and we lost five, six, seven days out of that.
Trevor Lang: Yes. In fact, Tennessee and Alabama a little bit, too.
Christopher Horvers: Okay. So we would do like a per-store per day, we can extrapolate that, off that, and it probably comes back. Do you expect it to come back typically pretty quickly?
Trevor Lang: I hope so. It just depends what we've seen in our history two kind of storms like we saw Hurricane Harvey a few years back. We saw a massive increase in sales obviously in that market because people were so damaged. But we've also seen storms in Florida where there was a lot of wind damage and other damage, and people have to then take their discretionary income that they otherwise would have put into floors and put into roofs and fixing fences and things like that, where it's actually hurt our sales. So on balance, we would expect to have a little bit of a benefit because I do think there's been some damage because of burst pipes and things like that, but just too early to say whether it will be a material upside yet.
Operator: Next question, Michael Lasser with UBS. Please go ahead.
Michael Lasser: It seems like the business is accelerating nicely estimate your belief that 85% of your sales are involved a pro in one way sheet or another. What's your sense of the pipeline for these pro customers? And what would continue to accelerate here? As we get some reopening, customer reshape their house in a way that makes it even more comfortable for them, and they'll have more comfort allowing the in their home, why would those be here?
Tom Taylor: Michael, I had a really hard time understanding all of that question. You're a bit muffled. So can you repeat the question?
Trevor Lang: I think I got pipeline...
Lisa Laube: Pipeline.
Tom Taylor: I mean pipeline -- I think I heard pipeline part of the question.
Michael Lasser: This is like the Tom Brady commercial has grown. The, of the question, Tom, was, how big is your pipeline? And why should the business continue to accelerate from here?
Tom Taylor: Yes. I mean the pipeline, from what we hear from our professional customers is there's a four- to six-week backlog, but they have just plenty of work. So the other point that I would make, too, is that people are still -- if you look at -- people are still engaging within the category. I look at our website traffic, which is when people are starting the project, you look at website. They're going to go there first. In the fourth quarter, our traffic was up 53%. Year-to-date, we're up 79%. So the traffic on our website continues to be pretty robust, and that leads to a pretty good demand. So we feel good about the tone of business. We're strong as Trevor -- as we said in our prepared remarks, we're strong across all geographies and strong across all categories.
Michael Lasser: Okay. And Trevor, you mentioned the long-term guidance that you had put out there. It seems like given what's happening with the state of the business, you're going to do much better than that long-term guidance. What factors should we consider that would just allow you to meet that goal and not fast be exceeded the outperformance at this point?
Trevor Lang: That's a great question, Michael. Your crystal ball is better than mine. I just don't -- there's just too many unknowns. I think one thing -- when that $329 million goal was put out there, that -- at that time, we were executing 20% unit growth, and that would have been 24 stores opened in the fiscal year we just opened versus the 13 stores. In our 10-K, we disclosed that we want new stores to do $2.5 million in first year EBITDA, you can then assume they're doing a lot more than that in years two, three and four. So we lost 11 stores that would have been contributing over $3 million in profit. 11 x 3, that's $30 million of EBIT that we're not going to get. But -- so we feel that we can overcome that and still get there. I hope you're right. I think that we've got a long track record of making the most of it. I think this last quarter was a great example if you kind of simplify it and think about it on a 13-week basis to a 13-week basis, where our sales were up 29% and our net income was up 62%. If the environment continues to be robust, we will -- we absolutely intend to grow our profit at a much higher rate than sales, which we've done in many years and past. And certainly, in the second half of this year, last quarter, another example where and ourselves are up over 30%, and our net income was up over 100%. So we will make the most of it if indeed sales continue to be robust.
Operator: Next question, Kate McShane with Goldman Sachs. Please go ahead.
Kate McShane: Thanks for taking my question. Trevor, you had mentioned last quarter about favorable rents that you were seeing, and that's the quality of real estate is still really high. I just wondered, three for months later here, just how you're viewing the opportunities beyond 2021 and how is the real estate pipeline evolved in any way since last speaking?
Tom Taylor: Trevor, I'll take that. I mean, yes, the real estate pipeline continues to be good. We're getting -- we're seeing opportunities that we didn't think that we would see. The class, as we mentioned in our prepared comments, we feel extremely good about the class of 2021 and we have visibility out to the class of '22, and it looks good also. So we're -- as we've had eight consecutive years of 20% unit growth, deals have started to come our way over the last few years in a meaningful way, and so we feel good about it.
Trevor Lang: Yes. And I think, just to put some numbers to that, Kate. When you look at the class of 21 to 20 even stores, we know what all those stores are going to be. Our rent per square foot is going to be about half what we've had in the past, right? We were probably close to 14 to 16 per square foot. And I think we're going to be in the high single digits around now. We're going to be in the high single digits. So the real estate team has just done a fantastic job. And we're putting stores, as Tom mentioned, more stores in the northeast and California. And as you could expect, those rents are generally a lot more than the rents in the south where we started. So -- and the classroom just finished is going to be -- it's going to be a fantastic cloud. The class of opening is going to be a fantastic class. So, new store return metrics are just great.
Kate McShane: That's helpful. And then my follow-up question was just on inventory levels. I know you mentioned in the prepared comments that they've been a little bit light in a few places. Just how should we expect the inventory build to look over the year? And are there any categories where you still would like to have better inventory levels?
Tom Taylor: Yes. I'll start. Trevor, you can talk about the build. Our in-stock continues to be a challenge. I mean when you're chasing these types of comps, keeping up with the inventory is not easy. I would say that it is one of the benefits of our model of having -- when you have a store that has 250-plus options of tile when you're out of five tiles, you can usually find something to put into a customer's hands. So while we're never happy and we're never satisfied and it feels like we're always -- it's like guacamole, we're always chasing something, we're able to overcome that because of our broad assortments and across every category that we sell. So I don't know, Trevor, if you want to talk about the cadence of.
Trevor Lang: Yes. And I think Tom mentioned this, our business has been accelerating ever since we have been back up in the month. And so even though we have had certain stocks out of stocks in certain categories because of the breadth of the assortment and just the great selling them on the website, we've been able to accelerate ourselves, again, ever since we open back up. I think as you think about this year, our expectation is that we'll be growing our inventory to slow rate themselves.
Operator: Next question is Liz Suzuki, Bank of America.
Liz Suzuki: You just talk about CapEx, which is going up pretty meaningfully and understanding that some of the cost of the 2021 stores occurred in 2020. But are there some other factors besides just the larger number of stores going into the CapEx guidance for 2021. It seems like the per store spend is going up just given the locations being in New York and the West Coast. So just want to think about how that $450 million at the midpoint is likely to be the base level spending off of which 2022 and beyond will grow, work, you think it's going to be a little elevated for 2021?
Trevor Lang: Yes. Definitely, 2021 is going to be a little bit elevated. So yes, our CapEx is going from just over $200 million to, I think, at midpoint. You said it was probably close to $250 million. A couple -- two things I'd call out. One, our CapEx per store is not going up all that much. It's going to be a little bit higher. And really, the only reason for the higher CapEx is part of the reason that our rents are coming down as we're taking on more of the CapEx burden. We're actually going to own a few stores this year. I think one in Dallas and one in Connecticut. We are doing more what we call self development, where we'll go get a piece of dirt and build the store, and so our CapEx is going to be a little bit higher. But on a personal basis, it's not all that higher, but there's a mix component where we're taking on more to develop ourselves and gain the benefit of that is we can get materially lower rents for that. A few other things I would like to call out on CapEx is we're going to do two relocations this year. That's probably $15 million that we otherwise would spend. We've done three relocations in the past. And in all three cases, it's been a home run where the sales go up a lot and the profits go up a lot. We've just got to fuel stores that we're going to relocate. So that's a little bit unique. The distribution center, as you might have heard, we're actually going to own that distribution center in Houston. We bought the land, started construction on that 1.5 million square foot. So we're spending $72 to $76 million in CapEx there. Normally, our DC CapEx is very small, well less than $1 million. So that's a bit unique. We won't have to hope to do that for another -- at least another 18 months, maybe two years. And then we're getting smarter as a company. Our adjacent categories, as you kind of -- as you look at our 10-K, you're going to see the sales are up massively in our adjacent category. So it's still small, but up a lot. We're reflowing the stores to a more logical fashion, so it works better with the consumer. And that's going to be some CapEx to spend some money on that. And then we've got a couple of our super high-volume stores that we're expanding because their volumes are so high, and that's going to cost us a little bit of money. But I think as you think beyond this year, I think we took these numbers in our 10-K, I think with $7 million to $9 million in CapEx per store, we still think that's probably about the right number. We probably won't have as many relos possibly per year. And then I think the big one is probably about that DC and some of the adjacent category expansion. But that's the things I would call out.
Operator: [Operator Instructions] Our next question comes from Greg Melich with Evercore. Please go ahead.
Greg Melich: I guess I'd love to be focused on inflation and mix and how that may have been influencing the growth in ticket if there wasn't, because I know what all the tariff in it. So any way to estimate what inflation was in the quarter last year?
Trevor Lang: We I don't think we saw a lot of inflation. We just don't -- what we sell doesn't fit in there, be a lot of employment and some would. Yes, but in wood, but we were 6% or 7% of our sales, maybe 8% of our sales. So we haven't seen a lot -- two point, the 25% tariffs, that's going to happen right. I think that's now maybe 13% of our sales. So there's going to be some higher costs that are going to come across there. We think, again, that's going to be more kind of back half of fiscal 2021 that is going to affect us. And then the bigger one that we and everybody else are talking about is the higher international container cost, the higher domestic trucking costs. We are expecting and planning for those to be higher. But I just want to reiterate again, I think the benefit for us is the difference between the retailers and us and our competitors is as good as it's ever been. And when you think about the smaller competitors out there that we compete with, that's getting close to 60% of the industry, the home centers are probably 28%, 29% of the industry. But most of those, our prices are really good. So as their cost grow, they're going to raise retails. And we don't have to raise ours a bit, too, but I think the pricing difference is going to be -- it's been -- it's as strong as we've seen it.
Operator: Our next question comes from Steve Forbes with Guggenheim Securities. Please go ahead.
Steven Forbes: Good evening. I wanted to focus on the CRM learnings, maybe a two-part question here. The first one, Tom, you mentioned the gaining learnings, right, or understanding why you don't get the sale during your prepared remarks, so curious, if you could expand on those learnings? And then the second part is just on the pro, a lot of helpful detail there, but curious if you could sort of update us on wallet share capture, right? We could obviously do the math behind the average spend here of a pro, but curious what the CRM is showing you or telling you in terms of wallet share trajectory and maybe where it can go.
Tom Taylor: Yes. I'll let Lisa take the CRM question. She's leading our CRM effortless. So Lisa.
Lisa Laube: Sure. So back to your first question. So some of the learnings that we have gotten as we've dived into our customers is we do start to understand that there's some things that play that are within our control, some longer term. For instance, convenience is a big one. We still only have 135 stores. So we may not be the closest store to someone. So it's possible that we could lose the sales just because we're not close enough. So we do hear that. There's also an essence of familiarity, which I think also comes with being a young brand. And as we continue to get bigger and as we continue to get our message out there, the people that shop us, we have an extremely high conversion rate. So basically, if we can get them in a store, we can sell them. So for us, the goal is really to make sure that people -- that the customers understand the value proposition that we have and why we believe it's the best business model and the best place for them to shop. I'll let Trevor speak to the pro wallet share piece. He's probably a lot closer than that than I am.
Trevor Lang: Yes. We -- with this here embedded, as Lisa mentioned, we've had improved for a lot longer than we've had as a total business. And with the PPR program, part of the reason for that was to get more data on those pros. And what we're learning is we have a small amount of pros where we have a massive amount of market share, and these are big pros, people that are spending $40,000 to $50,000 a year or more with us. Some of these people spending six figures with us a year, but that's a small number of pros, but they obviously spend a lot, and we're learning why that is, and we're obviously going to take those learnings and expand it. The next set of pros, we've got another kind of small set of pros that are spending kind of $15,000 to $40,000 a year, which again, those are big pros with big wallet share, small overall percentage of our number grows, but a big part of our lot. And then we have a substantial amount of pros where our share is very small with them. And we -- with the loyalty program, what we're working on is figuring out how do we tier that structured loyalty program and add other benefits like credit, like Tom talked about, HomeAdvisor, which is a great way to get them leads, making sure the desk is taking good care of them. And so now that we sort of have all these loans over the next year or so, we're going to roll out CRM and loyalty strategies to help move people through those tiers. And we think that if you look at a lot of bigger companies in us that have executed CRM and loyalty strategies, that's the play what they've executed. We've got some really good advisers helping us think about that as well. So I would say, in total, if you sort of boil that down, though, we still have a very small percentage of a catchment area or a trade area is pro wallet share. It is a very big opportunity for us. And we've got a small team of people here at the corporate office as well as all of our stores, very focused on continuing to grow that wallet share.
Operator: Next question, Karen Short, Barclays. Please go ahead.
Karen Short: Just a few quick questions on the newer markets, I'm wondering if you could talk a little bit about the expense structure in SG&A as a percent of sales and say the denser markets like northeast and the west coast. And then wondering if you could just give a little color on what you think the expected waterfall would be for the 2021 vintages -- vintage stores?
Trevor Lang: Yes. This is Trevor. So if you look in total, our stores kind of over five or six years, their SG&A is kind of in the low 20s, total is around 27%. Total companies are on 27% for store level SG&A. Our more mature stores are kind of in the low 20s and our newer stores, the first year they opened -- they run about 50% higher. So they're kind of in the low to mid-30% SG&A. If you then, to your question, to bifurcate that even further, as you would expect, our new stores in existing markets are generally lower because we do higher volumes in those. And then our new stores and brand-new markets is generally higher than that. But the simple way to think about it is our new stores SG&A as a percent runs about 50% higher than the first year. And then over that five-year period, it goes from kind of the mid- to low 30s down to the low 20s with how we think about it. And the second question was...
Tom Taylor: Waterfall.
Lisa Laube: Waterfall.
Trevor Lang: Waterfall, yes, I've been pleasantly surprised. We -- I've been here 10 years now, and we've been running the 300 to 400 basis points of incremental comp from new stores, including last year, has been the case. I -- we always model it to come down because treat don't go to sky. But I've been pleasantly wrong on that, and our new stores continue to comp at a much higher rate and our new store volumes. When I hear our new stores might be $7 million or $8 million. Now as we disclosed in our 10-K, our new stores, we're aiming from $13 million to $15 million. So at some point, that waterfall will come down because our new stores are opening up at such a higher rate. But to date, we've not really seen that waterfall slow.
Operator: Next question, Seth Sigman with Crédit Suisse. Please go ahead.
Seth Sigman: I wanted to talk a little bit about operating expenses. Can you give us a think how to think about SG&A headwinds or tailwinds in '21 based on what happened in '20? So there was a period where you cut a lot and had limited operations, and then there were some bigger increases in expenses in the back half of the year. I'm not sure where that, all net it out, but is there a way to frame SG&A into '21 like you did for gross margin? And help us think about your ability to leverage expenses this year.
Trevor Lang: Yes. It's a very difficult question because, obviously, you got to have the sales component to answer that question, in which we're not comfortable in giving the sales number. I would say, though, based on the last comment we just gave, with new stores operating at 50% higher SG&A than more mature stores and more than doubling our new store count going from 13 new stores to 27 new stores, we're not expecting a lot of leverage in store level SG&A only because of the new stores. We are absolutely -- again, I've been out in here 10 years, we've gotten leverage, which is incredible, but we've got leverage, I think, every year in our comping stores, and we intend to do that again. We'll get a little bit of leverage out of our corporate expense, we think, this year, but we're not really expecting to get much leverage in store level less, again, only because we're going from 13 new stores to 27 new stores.
Operator: Next question, Chuck Grom with Gordon Haskett. Please go ahead.
John Park: This John Park on for Chuck. You guys have your second design center now open. Can you guys frame out a little bit how we should think about the sales productivity from adding more of those to a market and how they should ramp over the next few years?
Tom Taylor: Yes. So we've got -- we opened one design studio in Dallas. So far, we're getting ready to open another one -- we'll open two more this year. And it's just too early to tell. We need to get a few of them open to understand kind of the dynamics of how they'll work. We like what we're seeing so far. But it's just way too early to really talk about it. But as we learn more and it becomes meaningful, we'll share more.
Operator: Next question comes from Seth Basham with Wedbush Securities. Please go ahead.
Seth Basham: My question is around gross margin. Just coming back to the quarter, excluding the tariff refund comparison, how much of the improvement you see in gross margins from leveraging supply chain versus other factors such as merchandising, pricing and mix? And how do we expect those factors to play out over the next two quarters before you start hitting the back half comparisons?
Trevor Lang: Yes. We exited the quarter at 42.5%, which is where we started the year. And I think as we think about this last quarter, the majority of the better gross margin was pure product margins, both from a mix perspective as our decorative business continues to do well. And then also as our consumers are choosing the better and best products, those generally carry a higher gross margin. As we get into next year, again, we would expect that we're going to get a little bit of that in the first half of the year, as I said, we probably expect to get a little bit of margin. A little bit of that would probably come from product margin and some of that would come from the supply chain as well.
Operator: Next question, Simeon Gutman with Morgan Stanley. Please go ahead.
Unidentified Analyst: This is actually Hanna Pintoff. Thanks for taking the question. My question is on the top line. Obviously, you've seen pretty strong trends so far. In the absence of the sales guide, could you give us some color on how you're thinking about broader home improvement industry trends during the year? And if you could specifically touch on what you're building into your internal planning around housing demand and interest rates and to what extent the top line outcomes are dependent on how COVID progresses and the time you have vaccine the year?
Trevor Lang: Yes. I think -- this is Trevor. I think the backdrop is as good as it's ever been. If you think about people are spending more time in their home, they're having to repurpose their home, it's work, it's play, everything, exercise. We're 6.7 million existing home sales turnover, which I think is the highest on the record or close to it. Interest rates are high. They're going up a little bit now, but they're still at record lows. The 123 million housing units out there, I think 80% of them are over 20 years old. So all those things we have to do, we are in a very strong macro backdrop, and that leads us -- that has historically been good for our business. And was there a second part to that question, too? Sorry.
Unidentified Analyst: And the sense of which COVID is going to be a driver and the way you're looking at the timing of vaccine.
Trevor Lang: I think, again, that's hard to say. That's why we're not giving guidance. My sense is based on recent information, things are getting a lot better out there. And the further really is taking on, and we're going to be a lot better. People will start to travel again, they will start to go to ball games. And some of that discretionary being has been directed towards us could possibly go back to other leisure activities. But as of -- as Tom mentioned, we're comping 24, that number would have been higher without those storms in Texas. So the backdrop remains very strong.
Tom Taylor: I'd add to Trevor, too, that you think about us, where our unaided brand awareness still hovers around 10%, so people still find out who we are. 40% of our stores are less than three years old, so we get some tailwinds from those stores. We're a share taker. We've been taking share. We think our model is better. So -- and we've got just a lot of initiatives in place to continue to drive top line.
Operator: Next question, David Bellinger with Wolfe Research. Please go ahead.
David Bellinger: Thanks for taking the question. Maybe a follow-up on an earlier topic here. But as you look at your most mature stores at this point, where are sales per square foot trending now versus some of the younger stores in the fleet? And what does it inform you about the potential productivity of some of these newer units over the next few years? Is there anything structural on the way those tools is reaching that same level of productivity?
Trevor Lang: Yes. I'm just flipping to try and find some notes here. Our sales productivity for our older stores, 5 and 10 years old, I think they're north of $300 or $328...
Tom Taylor: $328, you sent it today.
Trevor Lang: Yes. I mean, exactly. So I think it's over $300 in sales per square foot. And I think that does lead us to feel strong about those stores. I mean as you look at our stores, the older they are, generally speaking, the higher volume and the much higher profit they are. And so yes, I'm just -- I'm looking at our stores over 10 years old is well over $300 in sales per square foot. Our newer stores are obviously a lot lower than that. So it is like a fine wine, the older the stores get, the higher the volume and the more profitable it get. And so that does bode well. If you really simplify our business, I gave you the new store economics, right. We won new stores to be $13 million to $15 million in sales in the first year and the $2.5 million in follow EBITDA. Those stores get to 5 and 10 years old, they're going to be closer to $22 million, $23 million, $24 million in sales and getting close to 25% EBITDA margins. So it's a great business. And as Tom said, I have done here for almost 10 years we've all been here, we've got a substantial amount of initiatives with commercial and design and pro. We still don't have the majority of the wallet share. Our mind share is slowly low. So as we kind of ended with my comments, our best day lies in the future.
Operator: Our last question comes from Chris Bottiglieri with Exane BNP. Please go ahead.
Steve McManus: Hi, guys. It's Steve McManus on for Chris. Thanks for squeeze us here. I wanted to circle back to freight. I think last quarter, you guys mentioned you weren't really seeing an uptick from spot rate increases at the time, but we've seen ocean freight rates really step up the last couple of months. So just curious if there was a more meaningful impact that you guys saw in the fourth quarter.
Trevor Lang: No, not in the fourth -- we had almost all of our containers contracted out. Again, our supply chain team, they're very thoughtful and those contracts kind of come over time. And I think our first one comes up in May. And so, we don't have to deal a lot with the spot. We have some just because our volumes have been higher, so we are doing a little bit, but it's been pretty insignificant. So we -- looking in the rearview mirror, we really didn't see much in the way of higher cost. As we -- as I mentioned, as we start to get to those new contracts and then our inventory turns just over two times a year, so we don't feel it probably much in the first half of the year. But as we get to the second half of the year, we will likely see higher costs just because the overall market is going up.
Operator: Thank you. I would like to turn the floor over to Tom Taylor for closing comments.
Tom Taylor: Well, I want to thank everyone. I hope everyone is staying safe and healthy, and we thank you all for joining the call. I know a lot of our associates listen in. We appreciate everything that they're doing in these trying times, but thank you for your interest, and we look forward to talking to you in the next quarter. Thanks, everyone.
Operator: This concludes today's teleconference. You may disconnect your lines at this time and thank you for your participation.